Operator: Good day, and welcome to the Onto Innovation First Quarter Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mike Sheaffer. Please go ahead, sir.
Michael Sheaffer: Thank you, Connor, and good afternoon, everyone. Onto Innovation issued its 2021 first quarter financial results this afternoon shortly after the market closed. If you have not received a copy of the release, please refer to the company's website, where a copy of the release is posted. Joining us on the call today are Michael Plisinski, Chief Executive Officer; and Steven Roth, Chief Financial Officer. As always I need to remind you of the Safe Harbor regulations. Any matters today that are not historical facts, especially comments regarding the company's future plans, products, objectives, forecast and expected performance consist of forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These estimates, whether expressed or implied are based on currently available information and the company's best judgment at this time. Within these is a wide range of assumptions that the company believes to be reasonable. However, it must be recognized that these statements are subject to a range of uncertainties that can cause the actual results to vary materially. Thus, the company cautions that these statements are no guarantees of future performance. Risk factors that may impact Onto Innovation's results are currently described in Onto Innovation's Form 10-K report for the year ended December 2020 as well as other quarterly filings with the SEC. Onto Innovation does not update forward-looking statements and expressly disclaims any obligations to do so. Today's discussion of our financial results will be presented on a non-GAAP financial basis unless otherwise specified. As a reminder, a detailed reconciliation between GAAP and non-GAAP results can be found in today's earnings release. I will now go ahead and hand the call over to Mike Plisinski. Mike?
Michael Plisinski: Good afternoon, everyone, and thank you for joining our call this afternoon. Earlier today, we announced first quarter revenue of $169.3 million, which exceeded the high end of our guidance range without any revenue associated with the pending approval of our license applications by the U.S. Department of Commerce. We also raised our expectations for the second quarter, which at the midpoint represents 32% growth year-over-year and as well above our commentary from last quarter. In total, these positive revisions implied 26% increase in revenue for the first half of 2021 over the prior year and we expect revenue in the second half of the year to be even stronger. Our better results and outlook reflect the strengthening market demand in our core markets, but also the exciting progress we are making to expand our served markets. So let's begin with highlights from the first quarter starting with our advanced node customers. Demand for our optical CD metrology systems by multiple larger customers more than doubled over the fourth quarter to support expansions below the 7-nanometer node. At these nodes, the complex interaction of shrinking geometries, new materials and the introduction of new 3D transistor structures is creating the need for additional metrology steps and additional measurements per step. We believe this increase in capital intensity will favor Onto Innovation's proven metrology performance at optical speeds, which are orders of magnitude faster than X-ray. We see this value extending through the 3-nanometer node and have already received requests for second additional systems add a partner using our latest platform to develop that 3-nanometer process. We believe our platforms configurable performance in cost ratio was a key factor in the decision by a top three logic manufacturer to select Onto Innovation for optical metrology of the critical interconnect layers in the back end line. This selection of an entrenched incumbent is for our customer’s next-generation product ramp and we expect shipments to begin in the second half and carry through to 2022. In addition to expanding opportunities in existing markets, we are making great progress expanding our available markets, including the estimated 400 million planar films market. After shipping the first of our planar film systems in the fourth quarter, we've already booked an additional seven tools for shipments to that customer in the second and third quarter of this year with follow-on orders expected in the second half of this year. In addition, three more customers placed orders for our thin film solution with deliveries in the second half of 2021, and with further expansions expected by all four customers in 2022. Similar advances are being made in the advanced packaging and specialty markets, which continue to experience strong growth for multiple well-documented drivers in 5G high performance compute and AI. As we guided last quarter, we see incredible -- we saw incredibly strong demand from advanced packaging customers, which resulted in growth of nearly 50% over the fourth quarter, offsetting an expected pause in the 5G expansions we experienced in the fourth quarter. The majority of the packaging growth was to support high performance compute in memory devices where our inspection systems integrated with our AI classification software is proving to be a critical combination for process control. Our unique ability to leverage proprietary AI software to transform process control data streams into actionable intelligence has migrated from the mission critical automotive market to these leading-edge devices where faster and more accurate decisions are crucial to not only detecting, but also resolving process issues before impacting production. Similarly, our steadfast solution for panel lithography has demonstrated a 2x gain in productivity, while simultaneously improving yield by employing sophisticated machine learning algorithms to optimize stepper performance. In the first quarter, we received a repeat order for our steadfast solution in excess of $6 million for delivery in the fourth quarter of this year. This order brings our backlog for lithography to over 20 million with additional orders expected in the quarter. In addition to the strong demand in our currently served markets, we're encouraged by the progress we are making in two new specialty device markets. In the first quarter, we received several repeat orders ahead of plan from a top three CMOS image sensor manufacturer to support the ramp of their latest imaging device. We are seeing this demand because existing systems were unable to detect critical defects associated with the more advanced process. For the year, we expect orders from multiple top-tier CIS suppliers totaling in the double digits. Likewise, progress with our newly acquired overlay metrology business is also going very well. We've already integrated our proven Run-to-Run software into the latest overlay product, which shift to multiple compound semi-customer -- compound semiconductor customers in the first quarter. This new overlay solution will be fully released in the second half of the year and not only optimizes the lithography process, but also has the potential to improve sale productivity, a significant value proposition in an already constrained market projecting a CAGR of 25% growth through 2025. Now, I'd like to turn the call over to Steve to discuss the first quarter financial highlights. Steve?
Steven Roth: Thanks, Mike, and good afternoon, everyone. As I mentioned on our last call, we closed on the Inspectrology acquisition after our fourth quarter book closed. So the first quarter of 2021 is the first quarter that includes the results -- include the result in our numbers, however, the overall amounts were not material to the quarter. As Mike mentioned, our fourth quarter revenue was $169.3 million above the high-end of our previous guidance, up 21% year-over-year and up 9% from the 2020 fourth quarter. Looking down the revenue by market, 42% of sales were from our advanced nodes market with strength coming from logic, which more than doubled over the previous quarter. We also saw a strong growth from DRAM customers, but that was offset by a weakening in NAND. Advanced packaging and specialty devices represented 37% of revenue in the quarter, but were essentially flat overall with the previous quarter. And finally, software and services represented 21% of revenue in the quarter. Our gross margins continue to stay strong at 54% consistent with the fourth quarter. Product mix did impact the quarter with over half of the sales volume increase over Q4 coming from established product lines. We expect to see continued improving margins in our new products, providing enhanced value to our customers, as the supply chain synergies that we've implemented from the merger begin to impact our product cost. First quarter operating expenses were $49.2 million, an increase of $46.3 million in the fourth quarter. The increase was primarily due to operating expenses of Inspectrology operations and the reset of compensation related expenses such as payroll taxes that occurred at the beginning of the year. While we did experience an increase in operating expenses, our strong financial model resulted in an increase in our operating margins to 25%, well within our long-term operating model for these revenue levels. Our effective tax rate for the first quarter was 11% due to a higher than anticipated discrete tax benefit in the quarter. We also expect several other discrete tax benefits to reduce the tax rate in the second quarter to between 8% and 10%. With the reduced Q1 and Q2 effective rates, we now affect our full year effective tax rate to be somewhere in the range of 12% to 14%. The net income increased in the first quarter and was $36.3 million or $0.73 per share and above the high end of our guidance. In the 2020 fourth quarter, we reported net income of $35.6 million, or $0.72 per share. Fourth quarter earnings was impacted by a benefit -- from the benefit of a low 5% effective tax rate, mainly due to closure on IRS audit. Moving to the balance sheet, which is on a GAAP basis, we had strong free cash flow of $47 million for the quarter or 28% of revenue. We ended the quarter with a cash position of $393 million, up $19 million from Q4, and that's after approximately $26 million of cash used for the Inspectrology acquisition. Accounts receivable decreased in the quarter on higher revenues and better collections, improving our DSOs and ended at $142 million. Our inventory increased in the quarter to 201 million and the inclusion of Inspectrology's inventory, an increase in purchases for higher forecasted sales volume and an increase in the systems and finished goods awaiting shipment to China that require licenses. We're now turning to the second quarter guidance. We expect revenue to be in the range of $173 million to $184 million. Earnings per share in this revenue range is anticipated to be between $0.76 and $0.85 per diluted share. We also expect that within this range gross margins will be between 54% and 55%. Operating expenses -- active recruiting plans in place for the strong growth we are seeing. We're also seeing an increase in other variable compensation expenses and currently anticipate operating expenses for the quarter to be between $51.5 million and $53.5 million. Even with this new increased level of OpEx, we are confident we will continue to be operating within our long-term operating model as we grow toward our next benchmark of $800 million in revenue. With that, I'd like to turn the call back to Mike for additional insight into Q2 in 2021. Mike?
Michael Plisinski: Thank you, Steve. I would like to note that the guidance Steve provided for the second quarter does not include over $25 million in bookings that are pending license approvals from the U.S. Department of Commerce. Due to the uncertainty of timing of these licensing decisions, we will leave them out of future discussions until we have greater clarity. So, clearly the demand for semiconductor technology is strong and broad-based. The increasing number of connected smart devices drives both chip volume and data center growth to support explosion in data being generated by each device and enable greater remote work life experiences. These data centers are becoming digital gold mines and they are increasing the demand for high-performance compute engines to mine that data and transform it into valuable information. The value of this information to the consumer then drives higher product adoption, thus creating a virtuous cycle. Onto Innovation sits at the center of this virtuous cycle, providing comprehensive process solutions to challenging metrology problems from 3D transistor formations to 3D and heterogeneous packaging, which is a key enabler for future product innovations. To that point in the second quarter, we project the strongest growth to come from advanced packaging and specialty customers. We see expansions from 5G and packaging customers leading that growth. We expect DRAM revenue to increase for the fourth straight quarter and NAND revenue to hold steady, while logic revenue declines following a 2x surge from the first quarter. In summary, we see solid growth within our existing markets and we're making great progress expanding into new markets such as the planar films and the CMOS image sensing market. In addition, we're beginning to realize revenue synergies through our broader sales channels, for example, we currently expect to add over eight new customers for our optical metrology suite by the end of 2021 simply by leveraging our existing inspection channels into the specialty device markets. Likewise, we're beginning to see the potential for revenue synergies with our overlay products and inspection systems outside of the compound semiconductor markets. Each of these dynamics, many in the early stages of realization contribute to our positive outlook for next year and into 2022. It's certainly an exciting time to be a part of Onto Innovation, and I want to thank the entire team for their continued dedication to our customers' success. I also want to call attention to our First Annual Corporate Social Responsibility Report for 2020, which is available on our website. The report outlines several of Onto Innovation's ESG initiatives and our commitment to have a positive impact on our communities, the environment both local and global and our dedicated employees. Thank you. And Connor, we can now open the call for questions.
Operator: Thank you. [Operator Instructions] And we will take our first question. This will come from Craig Ellis with B Riley Securities.
Craig Ellis: Thanks for taking the question. And guys, congratulations on the strong execution in the first quarter. Mike, I wanted to start just by following up on one of the points you made early in your remarks and then came back to, on your conclusion you talked about an even stronger second half. And I was wondering in the past you've sometimes characterized year-on-year growth over a period encompassing two quarters like you've done with the first quarter of this year. Any color on magnitude of increase in the second half either half on half or year-on-year? And if you look at the second half, would you expect revenues to rise sequentially through the year, or for different dynamics that you see, which you expect things to potentially peak in the third quarter, so that's first question.
Michael Plisinski: So what we see right now, we believe revenues will rise sequentially throughout the remainder of the year. So we expect Q4 to be stronger than Q3, and we expect Q3 to be stronger than Q2. So that's what we're seeing right now. Contributing to that is, not just general market dynamics, but also the expansions that we're making into some new markets for us, where we're seeing like I mentioned earlier in the planar films, additional adoption there. We've also mentioned the increasing backlog in lithography, which we begin shipping those systems in the second quarter, in this quarter, and start to see revenue impacting in the second half. So -- yes, so that's what's giving us confidence in the -- in our statement, which has improved since the last time we spoke in the second half -- in the strength of the second half.
Craig Ellis: As far as…
Michael Plisinski: Don't give that…
Craig Ellis: Yes, okay. Had to try, and nice to see the broadening customer traction in the semiconductor market, just real nice momentum there. And then Steve for my second question, I'll ask when do you -- so, I just want to understand some of the dynamics that are leading to what looks like potentially a 70 basis point gross margin increased quarter-on-quarter in the second quarter. Is that more from inter-segment mix, a more of a sequential gain and software and services versus the first quarter things going on inside of some of the segments intra segment mix. And then any color on what we should expect with gross margins as we look to the back half of the year in that strong demand environment that has good potential to grow quarter-on-quarter as Mike just described.
Steven Roth: Yes. Yes, I would say there was -- again, when I to -- go back to my remarks, when you analyze Q1, we did have -- we had obviously a nice growth quarter, but when you look at it, I think some of it was people expanding in lines. We had existing tool sets, which is some of the newer products that we've talked about that I think could add give some incremental to the gross margin. So it didn't have a kind of the incremental revenue was impacting with some older product lines that have healthy margins, but maybe not as good as for anticipating with some of the newer stuff. Going forward, for sure, I think we'll -- you'll see that's just the growth in the product mix. We do have the lithography tools that are that Mike talked about, that will be starting to ship in Q2 forward. So add a little bit of it will be able to give and take over that a little bit of pressure on the margin there but again a lot of increased volumes. So I think we can offset that and stay within our model, but I'm pretty comfortable. If you look at our model in these ranges up to $800 million you're talking tough, our continued marketing growing [Indiscernible] through $800 million, through the beginning of $800 million. And I think we feel pretty comfortable that we're going to be in those revenue ranges, I mean those margin ranges.
Craig Ellis: Sounds good. Guys, thanks very much. I'll hop back in the queue.
Operator: We can take our next question. This will come from Patrick Ho with Stifel.
Patrick Ho: Thank you very much, and congrats on the nice quarter and outlook. Mike, maybe first off, in terms of some of the advanced packaging opportunities you're seeing both near term and over the long term. Can you discuss whether some of the upside you're seeing right now, is coming from increased capacity expansion plans from existing customers versus wins that you've gotten on new applications, whether they're on the high performance computing side, you mentioned heterogeneous packaging. Can you just -- I guess kind of provide a little bit of color of the kind of the mix of increased capacity expansion versus new application wins on your end?
Michael Plisinski: It's a little bit of a mix. And I don't have the exact split, but by new in the last, so a lot of the growth is what I would call new, but it's not wins in the quarter or two. It's wins from last year, even 18 months ago, where we were installing systems to help customers develop some of these more advanced processes, help them develop them, yield them and then work them into product designs. So that's what now we're starting to see in both the DRAM and in the advanced logic markets. And in the last few quarters, we've tried to highlight that with the share gains that we've anecdotally put together and describe to the investors about our growth within the -- let's say, the five IDMs, where they're driving a lot more dollars, in a lot more R&D, into advanced packaging such as heterogeneous die, such as 3D die stack -- sorry, heterogeneous or fan-out packaging, substrate, manufacturing or panel packaging as well as 3D stacking for high bandwidth memory in TSV. So we're seeing a lot of the expansions coming there. And we're seeing more devices being applied to that. So for instance some of the foundry customers, they're having more demand for that advanced packaging technology also running through and that's adding to our growth trajectory as well.
Patrick Ho: Great. That's helpful. And maybe as my follow-up question for Steve. You guys generated really good cash flow during the quarter and your working capital management was particularly sharp given a lot of the constraints in the environment. Can you discuss, I guess some of the supply constraints may be in ecosystem? And how that's impacting on your ability to build inventory? And also just make ensure that you're able to deliver to the higher demand that's out there right now by your customers?
Steven Roth: Yes. Thanks, Patrick. I mean, it's clearly something that, it's industry-wide we're looking at. We're keeping a pretty good pulse on the overall supply chain. From that perspective we are seeing kind of vendor-time stretch a little bit, especially and actually transportation side of it more than cargo, things that come on cargo ships we're starting to see, expand a little out, a little longer to get here, but we're working that into our plans. So right now, we don't see a supply constraint with what we're doing, but we're obviously planning for the fact that we see longer times stretching on some key components, especially coming from overseas. So, yes, we're working with those -- with the growth we're seeing and we're planning accordingly. And we've got some built into the plan. So we don't expect that at this time.
Patrick Ho: Great. Thank you very much and congrats again.
Michael Plisinski: Thanks, Patrick.
Operator: Our next question will come from Quinn Bolton with Needham and Company.
Quinn Bolton: Hey, guys. I'll also offer my congratulations. Mike wanted to start on the planar films traction. You talked about in the script, it sounds like you're seeing multiple systems at multiple customers. Can you just sort of give us a sense of the total number of planar films systems. Do you expect to ship in 2021, or perhaps a $1 basis, how much -- how significant is this to the overall business?
Michael Plisinski: I think it's still in the early stages. So as far as significant, I would say, it's less than 10%, certainly less than 10% of revenue. I think for us right now we're encouraged by that rapid adoption from the first top three customer, but then also the seeds that we're planting and the adoption we're seeing with other customers, that's all going to mean more expansions in the following year 2022. So, I think for us, it's all about we're seeing a lot of growth right now just from the markets. We're planting a lot of seeds for future growth. And then we'll see that become a much more significant part of our revenue stream. Just a reminder, we said that the overall market is $400 million in size, split between some critical films and then some more common films. And it's the common films we're going after, right now. So roughly $250 million or so. And so, 20% of that is another $50 million. We would hope we can achieve maybe a little better than that going into 2022.
Quinn Bolton: Great. Thank you for the additional color. And then the second question I had is, I think in the press release you talked about the inspection business growing roughly 20% quarter-on-quarter. So the back-end advanced packaging certainly feels like it's seeing good momentum. Your main competitor in that space is sort of talks about seen 80% growth in its inspection business in the first half of 2021 versus the first half of 2020. So perhaps a different time base. But wondering if you could give us your thoughts on just overall market share position in the Inspection segment of the market, do you think you're keeping pace with your largest competitor there in terms of market share?
Michael Plisinski: I think it depends on how you segment the market. So we're certainly extending our position at all of the leading edges. We've talked about that multiple times, that's I think we've got plenty of data points there. We're certainly struggling is in China. And I think that's an area, that's the competition is taking advantage of. With the restrictions we have, we've talked about significant amount of orders pending licenses, that's what we have in hand. There is also the dynamic where many of the second tier suppliers prefer to work with a non-U.S. option, non-U.S. non-American company has an option. So there is some low hanging fruit that the competition is taking care of that. I think that, that's a temporary dynamic. I believe that the -- what we're seeing from the commerce department, what we're seeing from Gnani [ph] and the communications that there is a desire to find a way to work and not punish the U.S. equipment industry, which is so critical to the overall growth and success of semi over the last several decades, really. And so I think that, that's going to turnaround. But we're happy with where we are and how we've been gaining share at all the leading-edge in critical devices and the specialty markets as well.
Quinn Bolton: Thank you, Mike.
Operator: And we will take our next question. This will come from David Duley with Steelhead Securities.
David Duley: Hello. Thanks for taking my question. Mike, I just want to clarify one of the statements you made earlier on. I think, Craig was also asking about it. You mentioned the growth in the first half of the year versus the first half of last year, I think was up 26%, and you made a reference how the second half growth would be stronger than the first half. Do you mean that the second half of this calendar year will be up more than 26% versus the first half, or excuse me, second half of last year? Or just help me understand what do you mean by stronger than up 26% in the first half?
Michael Plisinski: All right, that's a good question. So what I meant is that will be stronger than the revenue in the first half. So we see the second half as stronger than the first half of 2021.
David Duley: Okay. And as far as when you look at your -- I guess front-end wafer business and metrology business, the kind of -- we've heard from the big wafer fab equipment companies that the market is growing somewhere around 30% in calendar 2021. Do you think your metrology business will grow at a faster rate or a slower rate than that?
Michael Plisinski: Let's see if I can see. I think we are growing around that rate. I think there is opportunities for us to grow faster depends on timing of some of the adoptions of the new products we've talked about. Certainly, we're seeing some activity in the 3D NAND, which could drive accelerations and aspect, our channel home metrology tool that we, right now, we're not seeing a huge impact in this year more to next year, that could pull in and that could change, but I think right now, that's the 30% number is reasonable.
David Duley: Okay. Excuse me. And then, I think generally people talked about unit volume growth of 12% or 14% this calendar year. And I suspect that, that will continue given all the big wafer fab equipment investments we're seeing. It's over 14% is kind of the unit volume growth. What would you expect to kind of annual growth to be for your back end business?
Michael Plisinski: Well, last year, our back-end business grew over 20%, and we think it's going to continue at those kinds of levels. Back ends, what we're seeing for demand, for our advanced, the advanced equipment is -- it's pretty strong, and it's driven by a lot of different products, but also by those top IDMs that are migrating and now competing on the advances they're making in packaging. And you can hear it from nearly all of them. TSMC has talked about, Intel has talked about, Samsung has talked about it. So that's helping to propel this massive transition or demand we see for our advanced systems. And part of the advanced systems isn't just can we see the defect to measure it. It's also, what do we do with that data. And customers want fast decisions. They want that actionable intelligence. So they can make adjustments to the process right away. And that's what we're providing and have been providing to the automotive industry for better part of a decade. And now that whole value proposition is resonating very well with the advances in the high-end here and more traditional semiconductor.
David Duley: Okay. Final question from me is, could you just elaborate a little bit more on your lithography business. You mentioned I think that you picked up above the order and that your backlog is now greater than $20 million. Could you talk about the shipment of those tools and what is the reason, so to speak that everyone all of a sudden wants to take ship delivery of panel lithography tools? What has changed in the development processes of your big IDMs, that has all of a sudden, but they're starting to order panel lithography tools?
Michael Plisinski: Well, one thing we talked about is, there is some -- and the reason, we've had orders and has been driving a backlog is, there is a customization. There is some new features and capabilities that we'll be announcing as part of these systems. So that's one thing. That's opening up the doors and capabilities into another aspect of panel, where we're seeing tremendous amount of not just interest, but ramping of volume production. And that production is what we've talked about earlier this year that we could see and count to volume moving, not just in 2021, but through the next several years 2022, 2023. So we're seeing nearly, well, every major large -- all the high-performance compute engines that we're seeing are moving toward this type of technology, this panel level packaging technology. I will --
David Duley: As a follow on to that, it sounds like you kind of have a broad base of customers that are going to take systems. The largest customer in this segment is the big foundry in Taiwan, and they did mentioned on their conference call, obviously they've raised our CapEx like three times in three months or four months, but they're going to spend 10% of the CapEx budget on the back end, which is roughly $3 billion. Do you see the matting a bunch of capacity and fan-out, which we will acquire a bunch of more litho systems this calendar year?
Michael Plisinski: From a panel side, I would say, they're not leading, but from the fan-out, you know what the info process and some of their other advanced packaging [Indiscernible]. They're certainly investing heavily and gaining more customer demand for those products.
David Duley: Thank you.
Michael Plisinski: Yes.
Operator: [Operator Instructions] We can take our next question. This will come from Tom Diffely with DA Davidson.
Tom Diffely: Yes, good afternoon. First, Mike, a question on the $25 million of bookings that's were booked, but not shipped. Is this going to China? Is that -- have those been built in there in inventory right now, are they in process?
Michael Plisinski: Some have been built in the inventory. That's we didn't expect such long delays. We did foresee a lot of growth and didn't want to double up in particular quarters. So having a whole influx hit all at once. So, we did build some -- now we're working with customers to manage through the build. So it's not the full amount, but I did mention that's over $25 million, so.
Tom Diffely: Okay. But those could be reconfigured for the customers work case scenario?
Michael Plisinski: Worst case scenario, yes. And we also got payments upfront because of the uncertainty. So --
Tom Diffely: Okay. Excuse me. So Steve, you talked about lead times and supply challenges. Have your lead times changed at all, for your tools going to customers?
Steven Roth: No, not really, Tom. Yes, we've only just starting to see some of this new commentary on shipping dates from the incoming, but we're not -- we're ramping for the volumes we're seeing and we're not stretching out our lead times I think to per se.
Tom Diffely: Okay. That's encouraging. And then finally, when you look at the software and services space. When you look at your projected growth over the next few years, is it more heavily weighted to software side of the traditional services side and what might that mean for the margins?
Steven Roth: So, I would say some of that, the growth is probably more on the services side and software. Software is going to -- I think if you recall, we always kind of consider as a steady area has got those most progressive growth, but unlike these days prior to the merger software isn't -- it isn't as big as the overall [Indiscernible]. So, it's impact on the margins while helpful clearly. It doesn't really, it moves -- it doesn't move the needle as much that used to. So, I mean, I expect software to continue to grow. I think it will continue to enhance the margins, but we're talking percentage of a percentage point impact on the overall margin. On the service side, I think we've seen some steady growth in the service over the last say, if you actually track back a year and a half services is continuing to grow. We expect that to continue to grow obviously in this environment. And our service business overall is a pretty healthy margin business.
Tom Diffely: Okay. And then, I guess finally is the services business more leverage to the advanced nodes products for the advanced packaging products?
Steven Roth: Yes. It is more of the advanced nodes products with bigger piece of our business. So, yes.
Tom Diffely: All right, thank you.
Operator: I would now like to turn the call back to Mike Sheaffer.
Michael Sheaffer: Thank you. We'd like to thank everyone for participating in the call today and for your interest in Onto Innovation. That concludes our remarks for the call. Connor, please wrap it up. Thank you.
Operator: Thank you. This concludes today's conference. Thank you for your participation. You may now disconnect.